Operator: Good afternoon. My name is Allan, and I will be your conference operator today. At this time, I would like to welcome everyone to the Warrior Third Quarter 2023 Financial Results Conference Call. [Operator Instructions]. This call is being recorded and will be available for replay on the company's website. Before we begin, I have been asked to note that today's discussion may contain forward-looking statements, and actual results may differ materially from those discussed. For more information regarding forward-looking statements, please refer to the company's press releases and SEC filings.  I have also been asked to note that the company has posted reconciliations of the non-GAAP financial measures discussed during this call in the tables accompanying the company's earnings press release located on the Investors section of the company's website at www.warriormetcoal.com. In addition to the earnings release, the company has posted a brief supplemental slide presentation to the Investors section of its website at www.warriormetcoal.com.  Here today to discuss the company's results are Mr. Walt Scheller, Chief Executive Officer; and Mr. Dale Boyles, Chief Financial Officer. Mr. Scheller, you may begin your remarks.
Walter Scheller: Thanks, operator. Hello, everyone, and thank you for taking the time to join us today to discuss our third quarter 2023 results. After my remarks, Dale will review our results in additional detail then you'll have the opportunity to ask questions.  We were pleased to deliver another strong quarter in which we were able to leverage our operational excellence to achieve record sales volume, which represented a 51% increase over last year's third quarter. We continue to see improved performance from our transportation partners and at the McDuffie Terminal, which allowed us to ship more volume and reduce our excess inventory.  Our quarter-over-quarter growth in sales volume also yielded strong profitability as well, generating a cash margin of $158 million or $70 per short ton. Steel output from China, the world's largest producer, was stronger than we had anticipated, and it's widely [indiscernible] production cuts have not yet materialized. In fact, weaker domestic demand has led China to export higher-than-normal volumes of steel, which has impacted supply in some of our customers' markets.  With the exception of India, most other major steel-producing regions experienced lower demand and as a result, lower prices for their finished products. We've heard of customers adjusting their production rates to match demand. In contrast, the met coal index for premium low-vol coals experienced large upward trends during the latter part of the third quarter, while most other indices experienced more modest gains. These factors have put our customers' margins under pressure with the diverging steel prices in relation to raw material costs.  In sharp contrast to the second quarter this year, the availability of premium hard coking coals was tight during the third quarter as several Australian producers began their maintenance programs. In addition, the vulnerability of the supply chain was on display again with a slew of production issues, labor-related constraints and logistical issues impacting the availability of met coal.  However, we continue to see strong Mongolian met coal exports flowing into China as well as significant Russian coal exports finding their way into China and India. All of the major indices closed the quarter at their highs for the period. Our primary index, the PLV FOB Australia, experienced the largest increase of all the indices, getting $91 per short ton over the second quarter and closing at $302 per short ton.  In contrast, the PLV CFR China Index increased by $51 per short ton with a closing price of $254. The arc between these industries swung into negative territory in mid-August achieving a delta of $48 per short ton at the end of the third quarter.  According to the World Steel Association monthly report, global pig iron production increased by approximately 1.5% during the first 9 months of 2023 as compared to the same period last year. The positive growth was mainly driven by higher Chinese steel production, which grew by 2.8% for the first 9 months.  India steel production, although lower in absolute terms compared to China, continue to grow at impressive rates, increasing by 8.2% for the same period. Most other large steel-producing regions of the world experienced production declines compared to the previous year period.  As I noted, our record-setting third quarter sales volume of 2.3 million short tons was 51% higher than the comparable quarter last year. The previous record was set in the second quarter of 2019. The increase was driven by the improved performance of our transportation partners in the McDuffie Terminal, which enabled us to export more product and reduce our excess inventory. In addition, better-than-expected production contributed to an increase in sales volume for the quarter.  Our sales by geography in the third quarter breaks down as follows: 39% into Europe, 22% into South America and 39% into Asia. The increase in Asian sales was primarily driven by higher spot volumes sold into India and China during the third quarter. Our spot volume was 44% and abnormally high with excess inventory in the third quarter.  I want to spend a moment explaining the factors that went into the sales mix and how they impacted our average net selling price, revenue and net income. Warrior has experienced a larger spot volume this year primarily due to the end of the labor strike and to a lesser extent, the quality transition of Mine 4.  As we did not know when the strike would end, we entered 2023 assuming that additional production would have to be directed towards the spot market. However, a spot activity on our natural markets has been very weak this year. And since spot demand was fairly stable in countries like China and India, we turned our focus to the Pacific markets.  With these dynamics in mind, it's important to understand that pricing in the Pacific markets and how it differs from our traditional spot markets depending on market conditions. Typically, the Pacific markets are priced based on a CFR basis rather than the PLV FOB Australia basis, which is more common in our traditional spot market.  The freight differential's borne by a supplier on a CFR basis whenever the buyer has market leverage, which is the case in the third quarter. In a departure from historical trends, these industries have seen a dislocation which are not currently moving in tandem with CFR prices trailing PLV FOB prices by approximately $80 per short ton on average.  This is occurring due to a number of factors, including the limited end markets for Russian coal and CFR China pricing that was largely based on domestic dynamics rather than on a delivered basis from Australia. These dynamics resulted in a negative impact to our average net selling prices, revenues and net income during the third quarter.  With our headcount and production levels becoming more predictable over the coming quarters, we'll be better positioned to contract our product in advance, which enables us to capture the benefit of the rise in pricing. We might not see the impact of this in the fourth quarter, but we believe we're well positioned to take advantage of higher pricing in the medium term.  Let's now return to other key details of our third quarter performance. Production volume in the third quarter was better than expected and totaled 2 million short tons compared to 1.6 million short tons in the same quarter of last year, representing a 21% increase. This is the highest quarterly production output since the first quarter of 2021 and a record-setting quarter for Mine 4. Both mines operated at higher capacity levels in this quarter as a result of additional employees returning from the labor strike.  Our headcount was 44% higher in the third quarter compared to the prior year's third quarter. The higher sales over production volume in the third quarter drove our coal inventory down to 489,000 short tons from 760,000 at the end of the second quarter.  During the third quarter, we spent $112 million on CapEx and mine development. CapEx spending was $107 million, which included $66 million on the Blue Creek project, which I'll discuss more in a moment.  CapEx spending was a little lower than expected during the third quarter due to some delays in equipment deliveries and the timing of spending at Blue Creek. However, we expect to be within our full year spending guidance range by the end of the year.  Mine development spending was $6 million during the third quarter as we completed the development of Mine 4. Now that we're mining in the new area for Mine 4, we're seeing a transition in quality from the mid-vol to a high-vol A, which is similar to Blue Creek.  Turning to the development of our world-class Blue Creek asset. During the third quarter, we continued to make substantial progress on the project, and I'm pleased to share that our work remains on schedule. During the third quarter, we continued to make progress on the production slope, service shaft, ventilation shaft, which will be fully connected next year to allow the continuous miners to start development.  In addition, we continue to develop the site for the construction of the preparation plant and the run-of-mine belt structure as well as building the bathhouse and warehouse.  Capital expenditures during the third quarter for the development of Blue Creek were $66 million and totaled $191 million year-to-date. We spent $238 million since the beginning of the project.  I'll now ask Dale to address our third quarter results in greater detail.
Dale Boyles: Thanks, Walt. For the third quarter of 2023, the company recorded net income on a GAAP basis of $85 million or $1.64 per diluted share, representing a decrease over the net income of $98 million or $1.90 per diluted share in the same quarter of last year.  Non-GAAP adjusted net income for the third quarter, excluding the nonrecurring loss on the early extinguishment of debt, business interruption and other expenses, was $1.85 per diluted share. This compares to adjusted net income of $2.10 per diluted share in the same quarter of 2022. These decreases quarter-over-quarter were primarily driven by a 26% lower average net selling price combined with lower financial results from our gas business, which were offset partially by 51% higher sales volume.  We reported adjusted EBITDA of $146 million in the third quarter of this year compared to $172 million in the same quarter of last year. The quarterly decrease was primarily driven by a number of factors. First, the average net selling price of our steelmaking coal was 26% lower than the prior year quarter. Second, as I mentioned, we saw lower financial results from our gas business. However, these were partially offset by 51% increase in sales volume and lower transportation and [indiscernible] cost. Our adjusted EBITDA margin was 34% in the third quarter of this year compared to 44% in the same quarter of last year.  Total revenues were $423 million in the third quarter compared to $390 million in the third quarter of last year. This 9% increase was primarily due to the 51% increase in sales volume, offset by the 26% decrease in average net selling prices. Other revenues from our gas business were 64% lower in the third quarter of this year primarily due to a 72% decrease in natural gas prices between the periods.  The Platts Premium Low Vol FOB Australian Index price remained on a slow but steady upward trajectory for much of the third quarter, rising sharply towards the end. Since the record rise did not occur until late in the third quarter, we did not significantly benefit from the increase due to its timing.  The index price averaged $13 per short ton higher in the third quarter compared to the same quarter of last year. The index price averaged $240 per short ton in the third quarter.  Demurrage and other charges reduced our average net selling price to $185 per short ton in the third quarter this year compared to $248 per short ton in the same quarter of last year. Demurrage and other charges were $6 million lower compared to last year's third quarter. The higher demurrage and other charges in the third quarter of last year were the result of temporary delays [indiscernible] due to severe weather and port congestion.  Cash cost of sales was $259 million or 62% of mining revenues in the third quarter compared to $202 million or 54% of mining revenues in the third quarter of last year. Of the net $57 million increase in cash cost of sales, $102 million was due to the 51% increase in sales volumes, offset partially by $45 million of lower transportation and royalty costs on lower average net selling prices.  Our headcount was 44% higher in this third quarter compared to last year due to a focus on hiring workers during the labor strike and the addition of employees who returned from the labor strike in the second quarter of this year. In addition, the inflation we experienced in operating expenses and purchasing equipment over the last 18 months has remained steady. We have not seen any significant changes up or down so far this year.  Cash cost of sales per short ton FOB was approximately $115 in the third quarter compared to $135 in the third quarter of last year. While premium steelmaking coal prices were 6% higher in the third quarter of this year compared to last year, our average net selling prices were 26% lower. This resulted in lower transportation loyalty costs, which were 38% of our cash cost per ton in the third quarter compared to 47% in the same quarter last year.  Our cash cost of production per short ton was flat in the third quarter as compared to the prior year third quarter despite the incremental cost associated with the 44% higher headcount. In other words, despite the incremental cost of the returning employees from the labor strike, we were neutral on our cost per ton for the third quarter due to the increase in production volumes.  Cash margins were $70 per short ton in the third quarter of this year and were impacted by the higher spot volume, as Walt noted earlier. SG&A expenses were about $11 million or 2.6% of total revenues in the third quarter this year and were slightly higher than last year's third quarter primarily due to an increase in employee-related expenses.  The interest income earned on our cash investments well exceeded the interest expense on our outstanding notes and equipment leases during the third quarter of this year primarily due to our high cash balances, earning sound investment returns. Our third quarter income tax expense reflects expense on pretax income and includes an income tax benefit for depletion expense and foreign-derived intangible income.  Also during the quarter, we successfully executed tender offers for our senior secured notes as part of our ongoing commitment to effectively manage our balance sheet. By taking advantage of favorable market conditions, we reduced our leverage by $146 million or nearly 50%, enhancing our already strong debt-to-equity ratio.  In connection with this action, we recorded a loss of $12 million on the early extinguishment of debt. The loss represents the premiums paid to retire the debt and associated fees and expenses in connection with the transaction.  In addition, the company will have the ability from time to time in the future to make one or more restricted payments in the form of special dividends or stock repurchases up to an aggregate amount of approximately $300 million. However, any future special dividends or stock repurchases are at the discretion of the Board and subject to a number of factors, including business and market conditions, future financial performance and other strategic investment opportunities.  During the third quarter, we incurred incremental nonrecurring business interruption expenses of $347,000, which were significantly lower than last year. The decrease is primarily due to the end of the labor strike earlier this year. We expect to incur ongoing legal expenses associated with the ongoing labor negotiations.  Turning to cash flow. During the third quarter of 2023, free cash flow was $26 million. This was the result of cash flows generated by operating activities of $138 million [indiscernible] cash used for capital expenditures and mining development cost of $112 million.  Free cash flow was significantly lower than in last year's third quarter primarily due to less cash generated from operating activities and higher Blue Creek CapEx spending. Free cash flow in the third quarter of this year was negatively impacted by a $9 million increase in net working capital from the second quarter of 2023. Increase in net working capital was primarily due to an increase in accounts receivable and higher sales volume, partially offset by lower inventories and higher payables and accrued expenses.  Despite the higher capital spending associated with the Blue Creek project year-to-date, we have generated free cash flow of $114 million, of which $46 million has been returned to stockholders in the form of a special dividend earlier this year on top of the regular quarterly dividends.  Total available liquidity at the end of the third quarter was $810 million, representing a decrease of $141 million over the second quarter and consisted of cash and cash equivalents of $687 million and $123 million available under our ABL facility. The decrease is related to the extinguishment of debt and related fees and expenses during the third quarter as previously discussed.  Finally, turning to our outlook and guidance for the full year 2023. We updated our guidance for mining development and interest income, as outlined in our outlook section of our earnings release. No other key metrics were changed from our prior earnings release.  Since we reduced our excess inventory in the third quarter, our sales production volume should be similar amounts and lower in the fourth quarter. It's worth noting that the implied fourth quarter volumes between our midpoint and upper end of our guidance range for the full year indicates the fourth quarter will be our lowest volume for the year, as Walt will discuss in a moment.  I'll now turn it back to Walt for his final comments.
Walter Scheller: Thanks, Dale. Before we move over to Q&A, I'd like to make some final comments. We remain cautious for the fourth quarter, especially in light of the evolving situation in the Middle East and also because of the distortion in price indices.  Demand for steel is expected to remain weak but stable until the end of the year. However, we do recognize the uncertainty in the global economy and are closely monitoring its impact on steel demand.  We expect met coal pricing to remain under pressure during the fourth quarter, potentially [indiscernible] back some of the gains we saw recently, mainly supported by expected improvements in coal availability. For Warrior, now that we reduced our excess inventory, we expect our fourth quarter volumes to be seasonally lower as implied by our year-to-date performance compared to our full year volume guidance.  There are a number of factors contributing to those lower fourth quarter volume expectations. First is the continued weak customer spot demand in our natural markets. Second is that we have fewer operating days associated with the end of the year holidays. Third, we'll perform some needed mine maintenance. And fourth, we'll take a more strategic approach to maximize market pricing and profitability for our premium hard coking coals into the spot market.  With that, we'd like to open the call for questions. Operator?
Operator: [Operator Instructions]. Our first question comes from Lucas Pipes from B. Riley Securities.
Lucas Pipes: Walt and Dale, appreciate all the color in the prepared remarks. My first 2 questions tie in to your final comments there, Walt. First on the production side, when I think about the low end of guidance for the full year and what that implies for Q4, I come out to about 1.1 million tons. And when I looked at your historical production, I'd have to go back to 2021 and of course, you have the strike to see that level of output. So are you seeing anything specifically in your mine plan that would -- that could lead to this low end of the guidance for the full year on the production side? Or is that maybe just a degree of conservatism.
Walter Scheller: No, that's a -- that one would be extraordinarily conservative. Our expectations are well above that. I would say you can imply a 1 5-ish number, 1 4, 1 5, 1 55, something like that.
Lucas Pipes: And that's for production Q4?
Walter Scheller: That's for production, yes.
Dale Boyles: And I would expect -- this is Dale, Lucas. I would expect probably sales volume to be a similar number. And I think both of those would kind of get you right near the upper end of our guidance if you just kind of take the year-to-date results.
Lucas Pipes: Got it. That's very helpful. And then I do want to tie in the commercial side. Lots to discuss there, but maybe just to keep the discussion focused for now. In the fourth quarter, what percentage of your anticipated sales would be linked to the Australian FOB PLV index? What percentage would be more spot exposed? And what is the best benchmark to use as inadequate as it might be for those spot volumes?
Dale Boyles: This is Dale. Probably about 1/4 or 25%, I think, is spot in the fourth quarter. And that just depends on where that goes. If that goes into India, it could be on a CFR India or China index, could be an AC 64, could be some PLV Australia. But the contract should be -- contracted volume should be at the PLV FOB Australian rate index.
Lucas Pipes: So there is a range of potential pricing indices, and you will be efficient. Now hypothetically, of the range of those indices that you mentioned, what would be the most conservative netback price today?
Dale Boyles: Today, do not know. I really don't know what that would be today because I'm sorry, I didn't check on those rates today. But just suffice it to say, the spot volume because of all the dislocation that we've talked about with not only the between the indices but then the additional freight, we saw some of those differences greater than $100 a ton back during the quarter.  So if you do have the supply coming back online out of Australia pretty strongly in the fourth quarter, I think you will see PLV prices drop, and you'll see those are narrowed quite substantially. So it would be a real, real guess to tell you what that might be right now on that spot volume.
Lucas Pipes: Okay. This is still -- this is helpful color, Dale. I appreciate that very much. I'll try to squeeze one Blue Creek question. And I think in your prepared remarks, you mentioned equipment delays.  One, can you expand on that? And then two, equipment delays can often cause knock-on effects where the development doesn't go as initially planned. You work around things, and that can lead to cost pressures. Is that reading too much into this? Or are you still monitoring that situation from a cost perspective?
Walter Scheller: Actually, some of the equipment delays were for Mines 4 and Mine 7. Even with Blue Creek, we've placed those orders far enough out in advance that we are -- we remain comfortable with the delivery times for everything we've ordered. We've made sure we've done everything we can to lock those things in and get our slots with vendors to assure that we'll have the equipment when we need it.
Operator: [Operator Instructions]. At this time, there are no further questions. I will now turn the call back over to Mr. Scheller for any comments.
Walter Scheller: That concludes our call this afternoon. Thank you again for joining us today. We appreciate your interest in Warrior.
Operator: Thank you. And that concludes today's conference. Thank you all for participating. You may now disconnect.